Operator: Good afternoon, everyone, and welcome to the BM Technologies Third Quarter 2023 Earnings Call. Please note that this event is being recorded. [Operator Instructions] At this time, I'd like to turn the conference call over to Brian Prenoveau, Investor Relations for BM Technologies. Brian, please go ahead.
Brian Prenoveau: Thank you, operator, and good afternoon, everyone. Thank you for joining us for BM Technologies third quarter earnings call. Before we begin, we would like to remind you that some of the statements we make today may be considered forward-looking. These forward-looking statements are subject to a number of risks and uncertainties that may cause actual performance to differ materially from what is currently anticipated. Please note that these forward-looking statements speak only as of the date of this presentation, and we undertake no obligation to update these forward-looking statements in light of new information, future events, except to the extent required by applicable securities laws. Please refer to our SEC filings, including our Form 10-K and 10-Qs for a more detailed description of the risk factors that may affect our results. Copies may be obtained from the SEC or by visiting the Investor Relations section of our website. At this time, I will turn the call over to Luvleen Sidhu, BM Technologies' CEO. Luvleen?
Luvleen Sidhu: Thanks, Brian, and good afternoon, everyone. I am excited to be leading today's call, along with Jim Dullinger, our CFO. Also present is Jamie Donahue, our President and Chief Technology Officer. We will be discussing our third quarter results and also providing updates on our business. As we have mentioned on our previous calls, this year, there is no denying, it was a tough year, not only for our company, but for the fintech industry as a whole. We navigated through unprecedented interest rate hikes that led to a sharp decline in our rate-sensitive deposit base. We also experienced delays in transferring our higher education portfolio to a Durbin-exempt sponsor bank, primarily driven by regulatory-related delays. This substantially impacted our revenues given the high spend metrics of this portfolio. These are just two significant of several headwinds we faced over the past year. Despite these headwinds, we have sequentially improved our core EBITDA performance every quarter this year, driven by seasonally adjusted improved operating revenues and decreased core OpEx. Operating revenues for the quarter totaled $14.7 million, which is a 14% quarter-over-quarter improvement. Our core OpEx was at $15.5 million for the quarter, which is a 16% year-over-year improvement in core expenses driven by our profit enhancement plan initiatives. Our portfolio metrics also remained strong, with just under $1 billion in ending service deposits at September 30 and debit card spend of just under $2.2 billion in the nine months ended September 30. Moving back to some more business commentary. Going through a tough year also provided its benefits. The silver lining in all of this is that hitting a difficult point allowed us to focus on foundation building steps. And for the first time in a long time, we were able to take a step back and relook at the business with a fresh perspective, thinking about how would we choose to rebuild the company from the ground up so we are best positioned for growth in a sustainable, strong future. Some of the foundation building steps we took this quarter include: number one, finalizing the move to First Carolina Bank for our higher education portfolio, which is a Durbin-exempt bank and will result in meaningful increases to revenue. We have sent out customer notifications regarding this move and expect the transfer will take place on or around December 1. Second, we renewed our relationship with our core provider for another three years. We were able to do this at satisfactory terms and most importantly, solidifying this helps us focus on our business strategy and execution rather than a core conversion, which would likely take the full focus of our engineering teams for a whole year to successfully complete. Third, we have continued progress on our profit enhancement plan. With the current 15% lower core OpEx base compared to the prior year, and an expectation that we will realize over 60% of the targeted $15 million in core OpEx savings for the full year. Part of our cost savings efforts were offset by investments we made in positioning our company for growth. We do believe our full PEP savings will be realized within the first half of next year; and number four, we made significant progress in system upgrades such as the implementation of NetSuite and automation of rote and repetitive processes in different areas of our business such as banking operations, fraud and customer service to reduce costs and improve overall quality and business efficiency. As it relates to our go-forward strategy, we are convinced we want to double down on improving and growing our student business. This is a very unique opportunity only available to BMTX. Second, we will continue to opportunistically look to expand our BaaS strategy, but not at the expense of losing focus on our student business. I will talk through our strategic thinking as it relates to these two strategies a bit more after Jim discusses our third quarter financials in greater detail. I will now hand it over to Jim.
Jim Dullinger: Thank you, Luvleen. During the third quarter of 2023, the company earned $14.7 million of operating revenue compared to $19.9 million in the prior year. Year-to-date 2023, the company earned $41.2 million of operating revenue as compared to $67.9 million in the prior year. Servicing fees for the third quarter of 2023 totaled $8.7 million as compared to $10.2 million in the prior year. Year-to-date 2023, servicing fees totaled $23 million as compared to $37.7 million in the prior year. As discussed in our calls earlier this year, servicing fee revenues were negatively impacted during the first quarter of 2023, but a fixed rate servicing agreements that were then in place. Beginning in the second quarter of 2023 and thereafter and under the amended deposit servicing agreements, servicing fee margins have improved by approximately 175 basis points at the current Fed funds rate due to the impact of the new variable rate agreements. Interchange and card revenue totaled $2.7 million, for the third quarter of 2023 as compared to $5.3 million in the prior year. Year-to-date 2023, interchange and card revenue totaled $7.5 million as compared to $17.3 million in the prior year. Year-to-date 2023, interchange and card revenues were negatively impacted by the temporary loss of Durbin-exempt interchange fees. The transfer to FCB in December is expected to improve interchange rates for our higher education vertical by approximately 20 basis points on eligible spend. Had a Durbin-exempt bank partnership been in place during the second and third quarters of 2023, the interchange revenue for our higher education vertical would have been approximately 50% higher on a gross basis for these periods. Average service deposits totaled $853 million for the third quarter of 2023, down from $922 million for the second quarter of 2023 and from $1.6 billion in the third quarter of 2022. Substantially all of this balance reduction occurred within our BaaS vertical due to the interest rate sensitivity of a large portion of these accounts. Average service deposits in our higher education vertical increased to $466 million in the third quarter, from $429 million in the second quarter of 2023. More significantly, ending service deposits in our higher education vertical increased to $636 million at September 30, 2023, from $408 million at June 30, 2023. Deposits per 90-day active accounts in our higher education vertical at September 30, 2023, averaged $1,864, representing an increase of 15% as compared to the second quarter. Spending totaled $737 million for the third quarter of 2023, an increase from $658 million for the second quarter of 2023 and an increase from $683 million for the third quarter of 2022. Spending per 90-day active accounts for the third quarter of 2023 averaged $2,267 within our higher education vertical and $1,523 within our BaaS vertical both up significantly when compared to the second quarter of 2023 and the third quarter of 2022. Overall, we continue to see spend in our higher education vertical normalizing in 2023 to pre-COVID levels. Annualized debit card spend for highly active BaaS users, those with both direct deposits and a minimum of five customer-driven transactions per month was approximately $18,500 during the third quarter of 2023. This very attractive cohort makes up approximately 21% of active accounts at September 30, 2023, as compared to 20% in the year-ago period. Account fees and university fees totaled $3.3 million for the third quarter of 2023 as compared to $3.5 million in the prior year. Year-to-date 2023, account fees in the university fees totaled $10.3 million as compared to $11.3 million in the prior year. During the third quarter of 2023, the company retained 99% of its higher education and institutional clients. And with our continued strategic focus, we anticipate growth in both the number of active accounts and account activity go forward. There were approximately 200,000 new account sign-ups in the third quarter of 2023 and over 400,000 new account sign-ups in the first nine months of 2023. And at our higher education vertical, new checking account sign-ups in the third quarter improved 85% over the second quarter and 6% year-over-year. We processed over $3.6 billion of student financial aid refund disbursements during the third quarter of 2023 as compared to $3.4 billion during the third quarter of 2022. Core operating expenses totaled $15.5 million, for the third quarter of 2023, comparing favorably to the $18.4 million incurred for the third quarter of 2022 with a 16% year-over-year reduction. Year-to-date, 2023, core operating expenses totaled $44.8 million, comparing favorably to the $51.5 million in the prior year with a reduction of over 13% year-over-year. The company continues to actively execute upon its PEP with initiatives completed during the first nine months of 2023 that are expected to lead to the realization of over 60% of the targeted $15 million of cost savings for the full year 2023. The company expects to achieve its full PEP target with continuation into the first half of 2024 as certain of its cost reduction efforts have been partially offset by investments in its technology, operational processes and data initiatives. Core loss before interest, taxes, depreciation and amortization, totaled negative $0.8 million for the third quarter of 2023 comparing favorably to the negative $0.9 million for the second quarter of 2023 and unfavorably to the $1.5 million core EBITDA for the third quarter of 2022. Significantly, Q3 2023 represents the third sequential quarter of improvement in the company's core EBITDA results with expected continuation for the fourth quarter of 2023 and reflecting the continuing progress being made on our path to profitability. Liquidity remained strong at September 30, 2023, with $8.8 million of cash, $7.4 million of working capital and no debt. In addition, the company anticipates monetizing approximately $2 million of additional tax receivables by end of 2023. Importantly, our September 30 cash balance would have been $3.5 million higher, but for the timing of a servicing fee prepayment received in October instead of at quarter end, this is generally the case. For the fourth quarter of 2023, the company expects close to breakeven core EBITDA and positive operating cash flow. With that update, I'd like to turn the call back to Luvleen for some final comments. Luvleen?
Luvleen Sidhu: Thank you, Jim. I would like to provide some color on how we are thinking about the business going forward. With the upcoming move to First Carolina Bank and our core decision finalized, we are in a better position to focus on growth. Our primary focus going forward will be to double down on our student business. We are already market leaders in this segment, touching about one in every three college students eligible to receive a refund. However, we believe there is still tremendous untapped growth potential in this segment. For example, of the $11 billion to $12 billion in financial aid refunds we disburse each year through our existing university relationships, less than $2 billion of this flows into BankMobile checking accounts. Similarly, only about 10% to 12% of students receiving a refund choose the BankMobile checking account as a vehicle in which they want to receive their refund. Furthermore, we currently lose an active accounts almost as many accounts that we open each year. So there is tremendous opportunity to improve retention of our account holder. Not only is there a tremendous market opportunity for us to capture, but we -- but what we love about the student market is that it is totally aligned with our mission of why we came into being. We built this company on the premise that we wanted to build a digital bank utilizing best-in-class technology to financially empower millions of Americans by providing them with a more affordable, transparent and consumer-friendly banking experience. What better way to execute on that mission than by focusing on millions of students in the U.S. and helping them build strong financial lives by partnering with us. There are a few steps to make this reality. First, we have to have the right team, starting with the Chief Growth Officer, who has the marketing product, data insights and business development experience to provide the leadership in executing the strategy. He or she will then help shape the strategy and enhance our current team to execute. We are in the final stages of this hire and hope to have a new addition to our team in this role by the top of the year. Second, we need to unify our technology base so we have our most modern API-based technology stack in place for our student business. This way, we can much more quickly roll out new products and features that we deem important to attract and retain our student customers and build out our product roadmap. This technology unification and upgrade is expected to roll out in Q1 2024. Lastly, we will need to experiment with new tactics and strategies, which will allow us to better quantify the opportunity in the higher education segment over the next 18 to 36 months. And we look forward to sharing more as we build the team and finalize on our strategy. As for our BaaS strategy, we remain intrigued. BaaS provides revenue diversification with the opportunity to earn higher margin SaaS revenue. That being said, we must face the reality that this model is currently facing a lot of pressure. Many BaaS players have struggled with profitability due to a number of factors, including increasing regulatory pressures, risk of disintermediation by BaaS banks and other macro effects, just to name a few. That being said, we still believe there is an opportunity for a few key players to succeed in Bath as the market opportunity remains large. We will continue to opportunistically look for BaaS deals, partnerships, and potentially M&A opportunities that help us remain active and competitive in this space, but not at the expense of losing focus on our core student business. In summary, I want to reiterate that we are very optimistic and excited about our future. We are building our company to last and are not just focused on quarter-to-quarter results. Our goal is to get back to $20 million plus in EBITDA over the next 24 to 36 months through a combination of revenue growth, cost discipline and refocus of strategy thereby hopefully significantly increasing the value of our company for our shareholders. Thank you for joining us on our call today. We do appreciate your support, and most importantly, we appreciate the dedication and skills of our amazing team. Thank you so much for all that you do. We will now open the line for questions.
Operator: [Operator Instructions] Your first question comes from the line of Greg Pendy from Chardan. Please go ahead.
Greg Pendy: Hi, guys. Thanks for taking my questions.
Luvleen Sidhu: Hi, Greg.
Greg Pendy: Hi. So I guess, what things kind of increased visibility now that you have the rate contracts in Durbin-exempt, I guess, visibility on that front. Any update on a buyback. I think you authorized one a while back. Just kind of what are the thoughts? Is that still authorized right now, and is that something that could come into play in 2024?
Jim Dullinger: Yes, Greg, this is Jim. Good to speak to you again. So, buyback is definitely one of the strategic alternatives that, we are actively considering. To your point, it's definitely on the table for 2024. As we discussed in our prior call is, with the continuing change in the macro-economic environment, we've leaned towards conservatism with our cash, but obviously, our principal focus is, the highest return to our shareholders. So, it's definitely something that, we are evaluating as a potential strategic passing for 2024.
Greg Pendy: Okay, great. And then just one more, just on the operating expenses, can you just go into a little bit of color on the technology communications spending? I think you already mentioned some of it. There were some puts and takes in the quarter, just trying to figure out. It seemed to have bumped up sequentially?
Jim Dullinger: Yes, there is some variability there. So that line item evolves, as you might expect. So it's our tech spend, our processing charges, our communication charges. As the number of transactions increases, so Q3 is one of our peak quarters for seasonality, with the return to school. That variable component is reflected in that technology, and core processing line item as well.
Greg Pendy: Got it. Got it. Okay. That's all I have. Thanks.
Jim Dullinger: Thank you, Greg
Operator: Your next question comes from the line of Mike Grondahl from Northland Securities. Please go ahead.
Mike Grondahl: Hi. Good afternoon. How are you guys thinking kind of the next couple of quarters on deposits on the higher ed side and the BaaS side, How should we think about deposit growth, or continued kind of runoff?
Luvleen Sidhu: Yes. I think, Mike, for us, we're focused on - it's clear in this macro environment, number one, is chasing deposits that are rate sensitive doesn't make sense for us. So, we haven't been focused on deposit growth as it relates, to the interest rate sensitive side of our portfolio. And that's why we've really doubled down as we're seeing in 2024, to be a focus on reinvesting and reinvigorating our student business, and really that strong untapped market that exists there, even without selling another school just in our current ecosystem. We're not at a point where we're quantifying that. I think what we wanted to also make sure that, the market understands is that, it's a stepped approach. And the first step in that, is hiring the right leadership honing in on our strategy; and two, our technology unification. So, I talked about our most modern technology platform, and making sure that that's in place, so that we could more quickly roll out products and services. That would better attract, engage and retain that customer base, which we then downstream to greater deposits and greater spend in that portfolio. That's expected to roll out by the end of Q1. So really, in the latter half of next year is, when we're going to start seeing the impacts of some of the initiatives that we're putting forth in the end of this year and the earlier half of next year.
Mike Grondahl: Got it. And Jim, just for you. I think what you're seeing is, the reason core operating expenses were up 3Q from 2Q is, just a seasonality with the higher education business and the processing cost that, goes along with that. Is that the right way, to think about it?
Jim Dullinger: Yes, Mike, I think it's definitely the right way, is the principal driver for the increase quarter-over-quarter, is those variable costs, and they are directly in line with the increased activity, and the increase we'll see coming through our top line revenue as well.
Mike Grondahl: Got it. I'm just looking at my notes here quick. Any color you can give us on the terms? It sounds like your core processing provider, you extended that three years. Was that similar terms? Was that something you would plan to do all along? Or when did you kind of decide you were going to extend that?
Luvleen Sidhu: So, this is something that we don't talk about often, because a core processor is behind the scenes. And the reason that I brought it up today was really, because there was a decision to be made, whether we wanted to convert to a new core processor or not, because our existing relationship was ending as of May 2024. And as I also mentioned, a core conversion, for those of you in banking or cover banks, is a massive undertaking. And so, you start that process of renegotiation much, much ahead of time. We went through a competitive RFP process, and we are very satisfied and proud of the team of where we landed. And this is a competitive market. We were able to really renew that in a satisfactory way, and you're not going to see any incremental cost coming, from that line item going forward.
Mike Grondahl: Got it. And then maybe just lastly, Luvleen, if there's one product feature, or new offering for the higher enrollment college business. Can you give us some insight into what that might be just so, we can understand kind of the enhanced efforts that you have there?
Luvleen Sidhu: Yes. I think that the one that we even talked about last quarter, we definitely want to focus on asking our customers and really being able, to determine the consumer insights that really lead to the product road map of what we continue to add, to our mobile banking experience. What came out as sort of the number one top thing, given the high spend of this portfolio is that can we earn money in our high spend categories and so, we structured a relationship with a provider where there's also a rev share component for us. And so it's our first sort of feature rollout that we expect during Q1, and that's going to be a cash back rewards program. It's an opportunity for our customers to feel that we responded to their number one ask and for them to earn money every time that they spend in high important areas like gas, groceries, et cetera. And third, it also leads to a rev share opportunity for us.
Mike Grondahl: Got it. Okay. Thank you.
Luvleen Sidhu: Yes. Thanks Mike.
Operator: Your next question comes from the line of Bill Dezellem from Tieton Capital Management. Please go ahead.
Bill Dezellem: Yes. Thank you. I'd like to touch on the new checking account sign-ups that, hit a significant increase this quarter versus the prior year. What was that change versus - I'm sorry, versus the second quarter, what was the change versus one year ago? I'm thinking that just given the seasonality that might be an important comparison also?
Luvleen Sidhu: Yes, Bill, that's driven by seasonality and also probably improved enrollment year-over-year. So, we also mentioned since post pandemic, there has been a bump in enrollment, especially on the community college side, and that's helped with application flow into the system. And as you know, as you probably remember, Q1 and Q3, are our strongest seasons in this business. It's kind of back to school, the beginning of new semesters. And so, you have the most sort of refund dollars, the most number of students enrolling in schools and potentially choosing us as a vehicle in, which they want to receive that money. Q2 and Q4, tend to die down relative to that. So, we saw about an 80-plus percent quarter-over-quarter increase in account sign-ups due to that seasonality between Q2 and Q3 and then year-over-year, I think it was about 6%, 7% or so. So it's kind of been - it's better than last year, but - the biggest thing is the seasonality quarter-to-quarter.
Bill Dezellem: And I know you talked about in your opening remarks the intent, to work on retention since you lose about as many accounts, to graduating students as you do new ones coming in. Are you also looking to increase that rate, of checking account sign-up at the front end? Or is that not one of the primary initiatives at this point?
Luvleen Sidhu: Yes. We're really looking at a whole funnel experience here. Again, this is a regulatory related industry that we're in. So, I just want to say that for us, we're mindful and we're always looking at what is best for our student that, is our primary driver. It's also our mission. But we want to make sure that our students know what options are available to them. And we definitely believe that, our account is a really great option for them. And so, we're going to continue to focus on the experience between, when their school lets them know that, they have money waiting for them and how can we make that as frictionless as an experience for them, to receive that money, and any of the choices that are available to them. And hopefully, highlight and make our product better, as we respond to what our customers are looking for. So it's an obvious choice to want to go with us. And so that then is also about engagement and then keeping them on, as we expand our products road map over time for retention. So it's really being able to convert more upfront engage them, and get more activities through things like the cash-back rewards. And other products and features and then keeping them over a lifetime, by being able to expand the different products that, we offer them that could align to the different stages of life that, they would be going through.
Bill Dezellem: Thanks Luvleen. And continuing with the student side of the business, you referenced that the average spend was up. It was also up, I believe, in the BaaS side of the business also. The question is, given the macroeconomic data that is out there, there's some indication recent indication that the consumer may be slowing - other indications that the consumer may be holding up. But what's your belief as to why your average spend is up in both of those verticals?
Jim Dullinger: Yes, Bill, this is Jim. There's a couple of factors going on is, number one, I can't discount that the influx, or influence of inflation, right, is that's certainly a driver and our, spend for - across the board for both verticals. But I think also, I think it's to the elements that Luvleen spoke to, of increasing the usability and features, right. As our - particularly within our higher ed vertical as students find it easier to use, our services and our products is they end up spending more, right? And we're seeing that come through in not only pretty much all of the measures, right, whether we look at the new account sign-ups, which is up not only Q3 year-over-year, but also a full nine months year-over-year as well, but then also the increases we're seeing coming through in spend as well. So, I think it's a combination of both of those factors. There's a natural lift coming from the inflationary environment. But I think there's also the lift coming from the increased usage from our existing user base.
Bill Dezellem: That is helpful. And also in the opening remarks, you all noted that your focus right now is higher ed, and a little less so on the BaaS vertical. What opportunities do you see in the BaaS vertical when you are ready to push that direction again? Or do you feel like there's been some permanent, permanent change in that industry that will kind of lead it to not ever be, what we all may have thought that it could have been?
Luvleen Sidhu: Yes. I think it's a good question, Bill. And I would say that we're going through a transitionary period, where there's a lot of different opinions on how it will all shake out. And so I just want to highlight, number one, we're really grateful for our business and how it's set up, because we have such a great sort of diversification between having, sort of the opportunistic based BaaS business that we're set up to capitalize on. If that industry continues to prosper, but then simultaneously, we have a beautiful business in the higher ed space that's not going anywhere that's, the continuously replenishing market. It's a large market with the existing schools that, we have in place we are barely penetrating the opportunity, forget about selling another school and what opportunity that could bring. And then on top of that, we are only selling one product, to our colleges and universities today. And we gave a sneak peek that we're rolling out a fraud tool, an ID verification tool. A lot of schools are struggling with enrollment fraud, which has downstream effects of really making schools lose a lot of money. So, there's just so much untapped opportunity in higher ed, and it's also our higher-margin business, where we're not splitting any of that business with any partners. So we're really excited. But to answer your question about BaaS in particular, what we want to kind of tell the market is that it's a transition period, you read in to news every single day. There's like a new story about BaaS. And it's just clear that there is regulatory sort of oversight, and pressure that is coming on the industry. There's also BaaS banks that are really becoming stronger competitors in the space, and kind of creating this disintermediation threat, to sort of just technology BaaS players. So we're just mindful of that. That being said, if you have the technology and if you have scale and you have access to capital, I think you're very well positioned to play in this space. So, I think that the door is very much open for us. To me, it's more of the unsexy deals that might not be the brand names, because brand names take a long time to implement these programs And it's - sometimes more of a headache than a benefit, and it can be unprofitable when you have that much sort of, negotiating power being a big brand. So, I think that the opportunity, if we do decide to take advantage of it, would really be more niche use cases where a lot of deposit opportunity is flowing through some sort of disbursement similar to our student business is flowing through. And there's a large enough customer base that, the scale is there, to make it a profitable endeavor for us, and that's what we're well positioned to capitalize on if those - if and when those opportunities come.
Bill Dezellem: Great. Thank you both.
Luvleen Sidhu: Thanks Bill.
Operator: And we have no further phone questions. Brian, do we have any web questions?
Brian Prenoveau: Yes. We have a web question going back to the higher education business. Of the over 700 college partners that you have, how many of the 200,000 new account sign-ups were from existing versus new colleges? And what are your overall plans, to increase the number of colleges, and universities that you are working?
Luvleen Sidhu: Yes. So I would say, number one is, I just want to emphasize, I really do love this point not, to diminish the opportunity on the sales side for universities, but it's more to highlight that, it's amazing how unpenetrated we are in our existing ecosystem. So with the schools that we have relationships with today, that's primarily where those account sign-ups are coming from. It's not the new schools, because new schools take time for implementation and for the first cohort, to get used to signing up through the process, et cetera. So it's really our existing base that we're benefiting from, the new sign-ups to answer that part of the question. Second is, let me just go back to the point of our existing market share. So today, with the schools that we have relationships. We are touching about a third of the market of the eligible students that can get a refund. Again, we're disbursing about $11 billion to $12 billion for those schools that, we're doing business with today and less than $2 billion, or about $1.5 billion only of that is flowing into our checking accounts. And so, there is great opportunity as we improve our product, as we respond to what students are saying that they need as we get that upfront conversion funnel more frictionless and easier to kind of work through We can really penetrate more of that opportunity. And then we've already talked about the engagement and the retention side. As it relates to new school opportunities, even though we already are the market leader with about a third of that market opportunity, there is still a strong pipeline for us to go after. And we are looking at how do, we continue to stay strong from a competitive offering standpoint. Where today, we offer full service refund disbursement we want to be able to offer a value add where that full-service disbursement number one can be better integrated within the existing ERP systems and partnerships that schools have on campus, so that it's an easier choice for them to pick us, because it's just easier to roll it out. So, we're really working on behind the scenes how can, we become an easier sort of technology rollout so that schools it's an easy decision to pick us. And then second, we're looking at how do we kind of go from a monoline product of full-service disbursements that, we offer as the main product today, to being able to expand products that are relevant, to our universities and solve another pain point for them, to just create a stickier relationship, or more value-additive relationship, and potentially a more revenue generative opportunity for us as well. And an example of that is what I already mentioned before, the fraud tool, the IDV as we identification verification tool and product that we're expecting to roll out, to new opportunities, new schools and existing schools sometime in Q1.
Brian Prenoveau: Thank you. I see no other questions on the webcast too. So Luvleen, I'll turn it back to you for closing remarks.
Luvleen Sidhu: Great. Thank you. So thank you again, everyone, for joining us today. And it is a holiday season. So, I hope everyone really enjoys the holidays, and we'll see you next quarter. Thank you.
Operator: This concludes today's conference call. Thank you for your participation, and you may now disconnect.